Operator: Good afternoon, and welcome to the MGM Resorts International First Quarter 2021 Earnings Conference Call. Joining the call from the company today are Bill Hornbuckle, Chief Executive Officer and President; Corey Sanders, Chief Operating Officer; Jonathan Halkyard, Chief Financial Officer; Hubert Wang, President and Chief Operating Officer, MGM China; and Jim Freeman, Senior Vice President of Capital Markets and Strategy. Participants are in a listen-only mode. After the company’s remarks, there will be a question-and-answer session. And fairness to all participants, please limit yourself to one question and one follow-up. Please note this conference is being recorded.
Jim Freeman: Good afternoon and welcome to the MGM Resorts International first quarter 2021 earnings call. This call is being broadcast live on the internet at investors.mgmresorts.com, and we have furnished our press release on Form 8-K to the SEC. On this call, we will make forward-looking statements under the safe harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to differ from these forward-looking statements is contained in today’s press release and in our periodic filings with the SEC. Except as required by law, we undertake no obligation to update these statements as a result of new information or otherwise. And during the call, we will also discuss non-GAAP financial measures in talking about our performance. You can find the reconciliation to GAAP financial statements in our press release and investor presentation, which are available on our website. Finally, this presentation is being recorded. And I will now turn it over to Bill Hornbuckle.
Bill Hornbuckle: Thank you, Jim, and thank you all for joining us this afternoon. We’re excited to be speaking to you given the significant progress that we’ve observed in COVID trends, vaccination, consumer sentiment, and state by state operating restrictions throughout the quarter. Since we last spoke in mid February, our domestic business has improved significantly and the work we’ve done has allowed us to maximize the pace of our recovery while positioning us for long-term sustainable growth. As business trends improved, we remain focused on our long-term vision to be the premier gaming entertainment company in the world. Our strategy for achieving this vision centers on four strategic focus areas, first investing in our people and planet, providing fun and inspiring experiences for our guests, delivering operational excellence at every level and allocating our capital to drive the highest return for our shareholders. I thought it might be helpful to provide an update on each of these focus areas before turning to the details of our first quarter performance and our outlook for the rest of the year. Our people and planet strategy is part of everything this company does. At the pinnacle of this strategy is the investment in our amazing people reflecting on the past year to say that’s been tough would simply be an understatement. But throughout the year, our employees have been the one consistent bright spot across the organization. I am humbled and awed their dedication, their hard work and resilience in the face of unprecedented uncertainty. That is why I’m so passionate about the investment in them. We got through this because of their consistent commitment to this company and ultimately our guests.
Jonathan Halkyard: Thanks a lot Bill. Let’s first discuss the first quarter results. Our consolidated first quarter 2021 revenues were $1.6 billion, better than our fourth quarter’s $1.5 billion, and our net loss attributable to MGM Resorts was $332 million. Our first quarter adjusted EBITDAR improved sequentially to $218 million, heavily driven by our domestic operations. Our Las Vegas Strip net revenues in the first quarter were $545 million, a 14% increase from the fourth quarter. Adjusted property EBITDAR was $108 million, double that of the fourth quarter, and our margins sequentially improved 860 basis points to 20%, driven by the significant pickup in leisure and casino demand, coupled with cost control and the operating leverage inherent in our business. Hold had a fairly insignificant impact this quarter. Our first quarter Strip occupancy was 46% compared to 38% in the fourth quarter. With each month improving through the quarter, we exited the first quarter with March occupancy at 62%. Weekends were at 85 and week days were at 52 due to the lack of group business midweek. Occupancy has continued to grow in April. Our Las Vegas Strip occupancy through last weekend was approximately 73%. Our first quarter regional net revenues increased 19% sequentially to $711 million from the fourth quarter.  Adjusted property EBITDAR increased 53% over the fourth quarter as well to $242 million. Our first quarter regional margins grew sequentially by an impressive 738 basis points to about 34%.  Our domestic margin growth is a testament to all of the great work that our teams have put into maximizing the effectiveness of our operating model and rethink how we run our business. This ranges from marketing reinvestment to procurement, from energy utilization to management. And the breadth of our efforts gives me confidence that we’ll deliver on the $450 million of domestic cost savings which we previously identified. 
Bill Hornbuckle: Thanks, Jonathan. Obviously, we’re very pleased with the improving operating environment domestically and remain diligent in aggressively managing our operating model and our cost structure. I’m optimistic about the long-term recovery of all of our markets and I believe that MGM Resorts is well positioned to then gain share. I’m also excited about BetMGM’s positioning in the rapidly growing U.S. sports betting and gaming market. And as Jonathan mentioned, we remain laser focused on pursuing other long-term – our long-term vision. I’d like to end my comments where we started by acknowledging and thanking our employees across the world for the continued dedication to this company and their enduring efforts to provide the best experience for our guests. Our people are simply the best and to them I say, thank you. With that, I’ll open this up for questioning.
Operator: Thank you.  And the first question will come from Joe Greff with JPMorgan. Please go ahead.
Joe Greff: Good afternoon, everybody. What a difference to your mix as an understatement there. It’s good to hear about the group business in Las Vegas, Bill and your positive comment on 2022 and 2023, as well as the second half of the year. And 73% occupancy in April, my hotel companies would kill for that level of occupancy in most urban markets in the U.S. So where I’m going with these comments Bill, can you give us a sense of what your expectations are for airline capacity serving the Las Vegas Strip out of McCarran? Starting in September, do you get a sense that you can be 90% of pre-pandemic seat capacity? And do you think you get back to a 100% starting early next year?
Bill Hornbuckle: Joe, I’ll turn this over to Corey who studies it intimately with a commercial team, but the answer is yes, but Corey…
Corey Sanders: Yes. Joe, let me give you some stats of where we think we’ll be in June and July and then obviously, hopefully it keeps building. June, we think we’ll be at 93% of capacity and July 99% of capacity. And that’s what very little, if any international travel. So yes, we expect at least the air lift to be pretty close to what it was in prior years.
Joe Greff: Great. And you mentioned earlier, I think it was Bill your comments about – I guess, maybe it was more for the Strip, but maybe it extended to the whole domestic portfolio that the EBITDA generation – EBITDAR generation in the first quarter was heavily weighted to the second half of the quarter, obviously given the strength in March. Can you put a little bit more detail on that in terms of, as you exited the quarter, what’s sort of the monthly EBITDAR run rate coming out of the Las Vegas Strip coming out your U.S. regional portfolio.
Jonathan Halkyard: Joe, it’s Jonathan. We’re not going to provide EBITDAR numbers month by month, but it is certainly true that the business accelerated starting around mid-February, particularly in Las Vegas. Just when thinking about the margins, when you consider where we were in January, where we had a couple of our big businesses here in Las Vegas closed during the mid week. We changed those practices right at the beginning of March with the demand growing. And so really when in Las Vegas, when we had that level of demand against those fixed costs, and then even started being able to yield the rooms in Las Vegas, it really had a pretty dramatic impact on the company’s earnings generation. And the regional markets, the change through the quarter was not as pronounced. But we did see relaxing operating restrictions in many of those markets as we got into March as well as just overall aggregate demand. So we did want to – it relates to the occupancy numbers coming out of March, we exited a lot higher than we started March and that’s continued through April.
Joe Greff: Great. Thank you.
Operator: And the next question will be from Thomas Allen of Morgan Stanley. Please go ahead.
Thomas Allen: Thanks. Just a couple of follow-up questions on the Vegas recovery. Great that you’re running at 73% occupancy month to date. Any visibility and when you think you’re going to get back to the kind of low 90’s percentage rate? And then just thinking about the ramp up events, entertainment and conferences, how do you think that’s going to come back online? I hear your comment that you probably won’t be fully back until 2022, 2023. But is there a way to think about like at what levels you are versus historical levels in the next few quarters? Thank you.
Bill Hornbuckle: Yes. Joe, again, I’ll kick this off and turn it over to Corey. I mean, the good news for us is May 1. The County is going to relinquish here in Las Vegas the requirements so that people now can be three feet apart and no masks. And that we can go to 80% occupancy. So it unleashes restaurants, most importantly, one of our biggest restrictors has been the pools. At Mandalay, we had to restrict occupancy late March through spring break and into April because of the six foot requirement, the mass requirement. By Saturday, that basically in those environments goes away. We’ve got to monitor the three feet, but all things being equal that opens it up dramatically and then coming June 1 all things being equal. And we can demonstrate that the County has gotten 60% of its people vaccinated, all of the restrictions go away. And so when you talk about and hear about the things, we talked about the entertainment. The pent-up demand is been incredible. We had a Dave Chappelle show go on sale on Monday. It sold out in one day. You heard my UFC story. We had a DJ for next year Baby Bunny, or whatever the – Bad Bunny. That’s how much I know about Baby Bunny. But Bad Bunny, 45,000 people waiting in queue to buy tickets. And so the point is, I think come June 1 and July 1 and beyond, this year irrespective of group activity, which will be strong, is going to be a push to accommodate if you will. As it relates to next year, maybe Corey can speak a little more about the groups. So Thomas, I think your question was, when do we get to low 90s in that? And I think it will be dependent on a normal consistent group business coming back. We’ll start seeing things in the third quarter here with world of concrete, which we’ll know – we know is going to come in a little lower. It is their high season. It’s right in the middle of their busy season and there’ll be back in January. So we expect that to be a pretty good conference. Back half of the year, we have some pleased decent size groups at Mandalay Bay. And the current understanding is some groups are coming in a little lower than normal, and some may be coming out a little higher, but until we have some normalcy there, I think we’ll have a challenge of hitting that 90%. I think the encouraging news CS just announced they’ll be back in January. Hopefully, they come at full scale. And with any luck, if people get more comfortable with the meeting business and the social distancing gets relapsed, I think there’s a chance, a slight chance early 2022, we could start seeing 90% occupancies. Well, if you were to ask this last quarter, you did ask us last quarter, we said the back half of the year, I think we’re changing that feeling. It’s the first half of the year. The only real exception to that based on everything we said might be international business. And that’s obviously for us in integral and important, but that aside, we feel pretty optimistic about coming back to the first half of the year.
Thomas Allen: Thank you, both. And then just a follow-up, there’s a lot of macro discussions around labor shortages, leading to wage pressures and inability to operate because of lack of people. Are you feeling that?
Bill Hornbuckle: Well, I would say this, and Corey is the operator, but I can’t help myself, I used to be. The first three weeks that this thing really took off in the middle of March, we got caught off guard. If you asked us today, we probably have 1,300 openings. If you asked us in the middle of 2019, how many openings we have at any given moment, it’s about 1,300, 1,400. And so it just the velocity of how quickly it came back. I think over the next 60 days or teams have done a great job in responding. And I think you’ll see us get back to the place where particularly service levels are where they want and need to be. Because we’ll be able to staff up, there is a couple of holes.
Corey Sanders: I would agree, Thomas. I said national shortage. We’re well aware of it. We have instituted some things from the hiring front to help alleviate some of that pressure. As Bill mentioned, we’re hoping that next 60 days, we catch up back in that staffing area. But in general, we’re able to operate at levels that we’re comfortable with. But yes, there is a little bit of burden right now.
Thomas Allen: All very helpful. Thank you.
Operator: And the next question is from Shaun Kelley of Bank of America. Please go ahead.
Shaun Kelley: Hi, good afternoon. Thanks everyone. I wanted to turn the attention to kind of flow through in the quarter, if we just look at some of the sequential progress. I mean, if I measured it right, it looked like over 80% flow through sequentially in Las Vegas. And the number in regionals was I think, a little over 70%, which is pretty astounding, given the gaming tax component. So I was just sort of wondering overall, what’s kind of driving those levels of flow through and how sustainable, is that obviously, I think Corey, you just mentioned some possible catch-up in expense rates a little bit, depending upon maybe the timing of this? But also just how do you factor in non-gaming coming back and some of that to just help us kind of think through that progression as we move through the year a little bit,
Jonathan Halkyard: Shaun, it’s Jonathan and I think it’s a very good question. It’s one we’ve been studying quite a lot. We are right now operating these businesses with demand in the past 30, 45 days particularly in Las Vegas, primarily against gaming and hotel revenue streams or end cost structures. What – the parts of the business, which where the capacity has not yet grown like it has in the hotel and the casino floor is in some of the profitable, but lower margin businesses food and beverage particularly things like entertainment and even some of the services that are really important and can be margin impacting like valet parking and the like. So that we’re going to see those costs come back. They will be – we expect them to be EBITDA accretive, but potentially margin dilutive, but it’s important because they add to the full suite of offerings that we provide. So the flow through really has been strong because in some ways these businesses in Las Vegas have been presenting the kind of – almost the kind of revenue profile that many of our regional business did. So I think that there is – I’m firmly of the belief that these businesses can over the long-term, both the regional and the Las Vegas businesses delivery, but the margins over 30% we had regional businesses in the first quarter that delivered margins everywhere from 25% to 50% for the quarter. So we certainly intend on securing the gains that we’ve made in the cost structure, but there will be some give back as we add to the full level of amenities that we can provide.
Shaun Kelley: Great, very clear. And then my follow-up, would just be on really a follow-up to the last question. As you’re thinking about the occupancy recovery, we’re seeing some of the – I think you mentioned a little bit about yield on pretty good on the weekends and your ability to yield up a little bit maybe just talk about how you’re thinking about hotel rates, and I mean, is there the opportunity to do meaningfully better than pre-COVID levels on hotel rates possibly as soon as the second quarter here. Just kind of – how was that rate trajectory at least at peak periods or kind of on weekends trending.
Corey Sanders: Shaun, it’s Corey. So the second quarter will be a little challenging because we put a lot of rooms on the books to build that base. And really, probably the first month that we’ll probably see or where we’re seeing rates higher than they were pre-COVID where is August of 2019 compared to now. And really the fourth quarter, we expect to see our rates up slightly, not significantly from the 2019 levels, just to give you some flavor right now. The weekend pricing compared to last year, it’s up over $10 to $15. Now don’t take that and multiply it by all of our rooms because we have that base to yield up and the demands there. We’re getting it on the incremental rooms. It’s really the mid weeks that challenge on pricing. And that will stay challenged until the convention business comes back.
Shaun Kelley: Thank you very much.
Operator: And the next question will be from Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli: Hey guys, thank you very much. Bill, you talked a little bit about obviously the 2019 levels, you mentioned kind of some of that international high-end driving that if I’m not mistaken, in 2019, that business was down fairly significantly and obviously, hampered the 2019 year. But as you look ahead when comparing to 2019, if you factor in kind of the lower base of international in 2019, and obviously the cost cuts both would seemingly be kind of upside to your strip 2019 numbers in 2022, to the extent, obviously the international high-end returns, and obviously, the cost cuts that would be allocated to Vegas. Is there anything in that line of thinking that you would say is maybe incorrect?
Bill Hornbuckle: No, look, I think on the former the cost cuts, where every bit confident based on what we know today and we know a whole lot more than when we started this. That the $450 million is going to hold, and we feel really, really good about that. We think this operating structure we put around that work is working and frankly working better than it was. And so we feel really good about that. The other – the international problem, part of it was about simply getting liquidity out of the market and getting it to here back to Las Vegas. Part of it was the market itself and it was falling off slightly particularly the China-based business that will depend more on Macau than anything else and how it recovers, how we reestablish our pipeline there. It’s going to be interesting what happens in 2022, Genting will come into the market, but Sands will presumably get out of the market at least with the direct connectivity to Macau and Singapore. And so we – there’s a new competitor and potentially somebody falling out overtime. And so it’s probably a net neutral. It just really gets down to liquidity and the ability of tourists from China and gamers from China, getting cash out and into Macau and potentially here to Las Vegas. And so I think you’re thinking about the right way though. We got pretty beaten up in 2019 there.
Unidentified Analyst: Right. Great. Thank you. And then Jonathan or bill, whoever wants to handle this one, as you guys sit here today with obviously $4.9 billion of cash on kind of the domestic or operating balance sheet for MGM, you obviously bought back some stock in the 1Q, you bought back a little bit more here in the 2Q. Do you see that kind of being core to the story as it was in kind of 2019 and prior to the pandemic, when you guys were buying back $350 million to $400 million a quarter on average, or is this more of a programmatic kind of do it for now and see as options arise, be it in New York, be it in Japan or wherever it may be to spend money in Macau with that the expansion that you guys mentioned.
Bill Hornbuckle: I do see it as being core to the story. The company had embarked on, I think a well-thought-out program that was then truncated in many ways by the pandemic. And it was certainly a good thing as I mentioned in my prepared remarks that the company had the liquidity, it did during 2020, but really having seen the results that we’re seeing in a confidence in the remainder of the year. I certainly think it’s high time to return to that. Now, we’re not going to commit to any specific magnitude. It kind of depends on how things proceed during the course of the year, but I certainly believe our shares are attractively valued and that return of our capital to shareholders is going to be an important and ongoing part of our capital allocation program.
Unidentified Analyst: Great. Thank you both very much. Oh, sorry…
Jonathan Halkyard: Carlo, my only comment was the – I think you said 4.9 and liquidity. I think that number is far off of that one.
Corey Sanders: Yes. Sorry. No, I was just referring to the cash.
Unidentified Analyst: Thanks guys.
Corey Sanders: Okay.
Operator: Yes. The next question is from Chad Beynon with Macquarie. Please go ahead.
Chad Beynon: Hi, good afternoon. Thanks for taking my question. Wanted to focus on the regional markets. Some companies have talked about the strengths in unrated play, which has helped volumes and margins, which you talked about Jonathan. Can you guys elaborate a little bit more just in terms of what you’re seeing from the unrated players coming to the properties? If you think that’s sustainable and if you’ve been able to convert some of them over to your M life program? Thanks.
Corey Sanders: Hey, Chad, it’s Corey. Our unrated player saw big jump in on March compared to February. We’re up over 30% in the regional markets. Is that sustainable? I think it’s going to continue to grow as revenue grows. As the total revenue base grows has restrictions get relaxed. I think the unrated component will stay. The key to your point is converting them into people that we know. We have not really spent enough time on that to understand how to – how much of that is converting right now. But our goal is to put programs in place where we do convert them into MGM M life members and even BetMGM members.
Chad Beynon: Thanks, Corey. And then with respect to Macau, can you just give us an update in terms of how your team is thinking about the current restrictions? Obviously, we have May Golden Week coming up. I don’t think the market is ready for big inflow of people, but when you expect for more visitation to be permitted and how you think this could kind of ramp throughout the year? Thank you.
Bill Hornbuckle: Yes, Chad, I’ll turn this over to Hubert, but I think he’s got some good news on the May weekend. So, go ahead Hubert.
Hubert Wang: Okay. Thanks Chad. So the May Golden Week demand is actually pretty strong. We anticipate so I’ll to reach almost full occupancy. So similar to what we saw two years ago in 2019 for the upcoming Golden Week in early May, exceeding actually, our booking is pacing faster than what we saw during Chinese New Year this year and October Golden Week or Western New Year at the end of the year, last year. And also very important to point out that the demand from high end customers remains pretty strong from premium mass to in-house VIP. So actually a lot of off-suit product and there are already all the books. So, I think looking forward, we saw this momentum, I actually saw that in March market gradually to pickup. And I think that deep in the coming month in the balance of year, I think the vaccine rates, as we talked about in Bill’s prepared remarks, vaccine rates will also be important and also Hong Kong reopening with Macau and also the EV that application process, the redemption of that process in China will be these are going to be via the triggers for the recovery.
Chad Beynon: Thank you very much, Hubert.
Operator: The next question will be from David Katz of Jefferies. Please go ahead. David. Your line is open or your line is muted on your end. David, we are unable to hear you. All right. We’ll move on to our next question. And that’s from John DeCree with Union Gaming. Please go ahead.
John DeCree: Good afternoon, everyone. Thanks for taking my questions. Bill, maybe two together. You’ve talked about Japan and downstate New York in Yonkers as a kind of focus growth initiatives and a little bit cloudy, I guess, as we look at the media reports and how those two opportunities are progressing, could you give us perhaps a better insight than anyone on progress in Japan and kind of expected timeline as well as, as your thoughts on how New York might play out at this point?
Bill Hornbuckle: Sure. I’ll start with Japan. Not much has really changed since the last quarter. There is still a submission deadline, July, I think it’s 20th of this year for an RFP. It’s our company’s intent to do that. They had opened it up. We have been able to work with Japan and the City of Osaka of note on some of the criteria given COVID, given the requirements and frankly we’re able to enhance them and improve them to the point of they’ve reopened it back up for about three weeks. There were no new participants. And so we stand as the lone entrant in that process, starting in July, it believe – believe it will be then determined by the national government in June and the following year where the three locations will be anointed. And that’s to be determined obviously at that what had happens. You all know that Japan last couple weeks went back into lockdown. So, it’s tenuous in some respects, but we are still very focused on it. We intend to hopefully apply in July if in fact that happens. New York is obviously more immediate. Nothing is simple, particularly there in the context of understanding what was done. As of now, we have until June 10, until the legislature closes. We are hoping to keep it in the governor’s budget. It didn’t make it, but we have a good reason to believe. I was literally there on Monday with some of our team talking to legislators at all about the process. And we hope to get from an RFI to an ultimately an RFP process that would happen later this year. We remain optimistic. We liked obviously our position there too early to tell exactly what we might do. It would depend on if there are two or three entrance. Ultimately, what the tax would be, et cetera, et cetera, but both of those remain on our radar and we’re zeroed in on around those timeframes.
Unidentified Analyst: That’s very helpful. Thanks, Bill.
Operator: Next question. We’ll move back to David Katz with Jefferies. Please go ahead.
David Katz: Hi, afternoon, everyone. Thanks for taking my question. I wanted to discuss MGP and the stake there, which has continued to generate some proceeds and move lower. If we could just talk about what the perspective outcomes or alternatives could be and what the sort of gating factors around those would be to that moving lower from here.
Bill Hornbuckle: Sure. David. It’s been a process that the company has taken over time – over now a period of a few years. There’s no particular gating items just that we’ll look to monetize that stake potentially over time when we think that the opportunity is right for us to do so. So it’s balancing the yield that we have from that investment with MGP, with the other uses that we have for that capital. One other consideration that, of course we think about is the clarity of the story and the investment thesis behind MGM Resorts and our shareholders investing in MGP through MGM Resorts and they to be better served by being able to invest in MGP directly. So I think it’s a process, one that we advanced further during the first quarter. But as it relates to where we go from here I’m not going to really speculate on the magnitude or the timing.
David Katz: Understood. And if I can follow that up, obviously there, as you said, there’s a lot of issues, but is it fair to take away that tax implications, aren’t in and of themselves a gating factor in a relevant, but not gating factor. 
Bill Hornbuckle: Yes. They’re certainly relevant. They’re not a gating factor.
David Katz: Perfect. Thank you very much. 
Bill Hornbuckle: Okay.
Operator: The next question is from Barry Jonas with Truist Securities. Please go ahead.
Barry Jonas: Hi, thanks for taking my question. I guess the first would be to what extent, if any, do you think stimulus checks weighed on the quarter?
Corey Sanders: Yes, look, I think it’s definitely had a benefit in the regional performance. I think there’s also things like no entertainment options really, also there is a quite bit of savings on the sidelines. So I think to sit there and be able to carve out exactly what each of those have, it would be difficult.
Barry Jonas: Got it, okay.
Jonathan Halkyard: This is Jonathan. I was also going to add it. It’s stimulus checks aside. It’s – I think it’s undeniable that sentiment has just improved dramatically as well as some real changes in operating restrictions in our business together with what we think are just a fantastic product and service that we’re offering with our teams. So it’s certainly a combination of events that we think has led to this demand improvement.
Barry Jonas: Great. And then just as a follow-up, beyond New York, are there any other land-based development opportunities in the U.S. You’d be interested in pursuing? There’s Chicago, potentially Texas, Georgia, or anything else?
Jonathan Halkyard: Barry, I would say this. Texas is of course of interest, presumably you know it, didn’t get through the legislative session. So at the very least the discussion is two years away, but as it was defined there, the four big cities, one of them would be something potentially down the road we’re interested in. Florida is complicated as you know, and we are watching that closely. Obviously, the governor just made a deal with the tribe. And so we’ll see how that pans out, both in the context of land-based as well as sports betting. Georgia is probably not any immediate horizon. And obviously we spend a great deal of time and energy there. We know the marketplace well. It have to be under the right circumstance. And Chicago is just complicated. The history there in Chicago, the tax and the notion of integrated resort at scale don’t necessarily marry up. And while I think they’ve had some improvement. We’re not overly keen or focused at this point in time there.
Barry Jonas: Understood. Thanks so much.
Operator: The next question is from Robin Farley with UBS. Please go ahead.
Robin Farley: Great. Thanks for taking the question. I wanted to ask about in the regional area, the cost saves, and you mentioned, some lower margin things may come back, but just looking at the high margins on the business that you do have, how much of that is, labor efficiency that, has nothing to do with like competitive issues that you can hold on to. And how much of it is the fact that, you didn’t have to do certain promotions or competitive things maybe trying to get that incremental top line from a – for a property nearby, can you kind of help us think about how much of it might be, of that improvement would be sustained kind of more in your control, I guess, versus competitive. Thanks.
Jonathan Halkyard: Robin, it’s Jonathan. The labor costs we expect to be largely sustainable. I mean, there is – there are a couple of circumstances in our regional properties where we’ve been aside from what I mentioned earlier about adding some additional capacity to restaurants, for example, which operate at lower margins than the other revenue centers. There’s a couple of circumstances in our businesses where we’re under our intended complement of employees, but those are – there are relatively few of those. So, we put a couple of pages in the presentation. But on the website today, recapping the cost program and much of those operations streamlining have already been realized in the regions and we’re confident we can sustain them. It is certainly true that our reinvestment is lower than it was pre-pandemic in the regional markets. That would to the tune of probably well, actually, I’m not going to offer a specific on that. Just to say that those changes I think are also sustainable and that they really haven’t been driven as much by competitive issues rather than our own practices of test and control, and always improving on the effectiveness of our marketing reinvestment
Robin Farley: Of the 13 kind of percentage points of margin improvement, how much of that would you say is that, that labor savings that you, I know there’s a side that lays out the aggregate dollar amount across the company of cost saves, but still the regional of those 13 points which…
Bill Hornbuckle: Yes. I would say roughly compared to kind of pre 2019 levels probably about 300 basis points or so 300 to 400 basis points of savings.
Robin Farley: Okay, great. Thank you. And then just as a follow-up on a different topic was Macau, and I’m just looking at the market share sequential change from Q4 to Q1. And I know you mentioned the math hold was lower than you expected, and of course there’s a new competitor in Q1 as well. Is there anything else we should, any other dynamics that we should be thinking about looking at that, the market share shift sequentially?
Bill Hornbuckle: No. I might offer – hold on one sec, I might offer up we are and the reason we have gained share given the nature of the company, what we’ve done historically in Asia with branch offices and environments, we’re ideally suited to have our own customer, own customer database and our own programs. And so it’s benefiting us as the mass market returns, obviously that will go down, but as the market continues to shift away from junket and ultimately into premium mass, we think we’re well positioned. I don’t know, Hubert if you have anything to add?
Hubert Wang: Yes, I think that I can always count on you for one question on the call, last quarter you did the same, but I think that the if you look at market share, our market share up October last year. Overall, we averaged about 12% and that’s a, quite an increase in what we were back in 2019 and it’s first quarter, there was a little decline. I think that that is anticipated, I think as well base math coming into the markets. That’s what we’ll see, but I think that all focuses on high end premium mass. So in the second half of this year, we’ll introduce more suite products actually these are very high-end suite products in our portfolio. So, I think that we’ll regain some of the market share back that we saw a decline in Q1.
Robin Farley: Okay, great. Thank you very much.
Operator: And our final question will come from Stephen Grambling with Goldman Sachs. Please go ahead.
Stephen Grambling: Hi, thanks for sneaking me in there’s somewhat of a high level question, but I think pre pandemic, there was some talk of shifting from the MGM 2020 cost outs to investing in digital, to boost loyalty and improve the efficiency of revenues. And I see in the deck, I think you’ve highlighted investments into digital to improve loyalty. Can you just help us think about what that ultimately looks like as we try to think about that as an opportunity going forward?
Bill Hornbuckle: Yes, Stephen, Bill. So, we have spent a great deal of time trying to study what moves the needle and what doesn’t. And we’ve identified. We think some opportunity with high-end retail business, not surely in garment business, but high-end retail business, non-gaming some regional movement from regional players to Las Vegas to take better opportunity of the players. We already have some activity around BetMGM and making sure we secure those players and some other ideas there. And it is around part of its around the digital transformation, part of its around getting some of our tech debt resolved so that we have an environment that’s ripe and ready to do those kinds of things. And so we’re going to lean in with teams. We’re going to lean in with investment over the next three or four years. We obviously during the pandemic put the vast majority of that on stand down we went like, hell as you know, to get some of the things completed because of the pandemic mobile check-in and some of the other digital opportunities. But now it’s going to be really about what’s the customer experience. What’s the focused on the high-end. How do we drive more share, how do we drive more wallet and things of that nature. And we’re going to lean into that side of the business to help us do those things.
Stephen Grambling: And perhaps a related follow-up on the rated play in the regional markets. Are there changes in the competitive promotions you see where even if it may not be permanent promotion cuts, the cuts may be so significant or drafts. They just can’t be turned right back on. In other words, do you sense your peers may have structurally altered the promotional intensity as well?
Bill Hornbuckle: Yes, I think it depends on the market. I think Atlantic City, those numbers are published. You can see they’re fairly consistent. Some actually turned up their promotions at the beginning of the pandemic, the other markets; I think you see more rational type performance and just listening to our competitors. It seems like that is the way they’re going to run their business. So I think some of it is definitely sustainable market-by-market as you pick it up.
Stephen Grambling: Great. Thanks so much.
Operator: Ladies and gentlemen, this concludes our question and answer session. I would like to turn the conference back over to Bill Hornbuckle for any closing remarks.
Bill Hornbuckle: Thank you. Operator. Just a couple of thoughts as we, as we leave the call and thank you all for your attendance today. Look, obviously you can sense we have a great deal of optimism for where we are and where we’re going. There’s been huge pent-up demand, and we see it. We see it here with activity around major events. And so we’re very excited about the summer and fall. I think you heard us say, I hope you heard us say, we think the regional’s returned to 2019 levels by end of year. And I hope you heard us say come the first half versus the second half, save international. We think we’re going to be back to 2019 levels here in Las Vegas. But MGM continues to amaze. We’re very excited by where we are great kudos to that team. A billion dollars of NGR in 2022 is compelling. If you think about what we were about six months ago and Macau, we still have and continue to have long-term aspirations and hopes for the market returning this year, we, we see of it now in the May holiday. And so we’re excited by that. And then ultimately I think we’ve got enough maturity now around our 2020 plan and business that the 450 we committed to is very real and we’re going to deliver on that. And so, we’re excited by where we are. We’re excited by taking his job and put earlier, you know, we’re conservative approach to capital allocation, and now going out and thinking about the true growth of the company and the kinds of places to do with whether it’s in Asia or digital or some other place know that we’re excited by that. And we’re excited by raising the bar here and across the portfolio in terms of service and the service deliverable we want, and we’ll do a much better job on that. So thank you for your attendance. I hope you all have a great evening.
Operator: Thank you, sir. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.